Operator: Good morning, everyone and welcome to Pinnacle Financial Partners' third quarter 2016 earnings conference call. Hosting the call today from Pinnacle Financial Partners is Mr. Terry Turner, Chief Executive Officer and Mr. Harold Carpenter, Chief Financial Officer. Please note, Pinnacle's earnings release and this morning's presentation are available on the Investor Relations page of their website at www.pnfp.com. Today's call is being recorded and will be available for replay on Pinnacle's website for the next 90 days. At this time, all participants have been placed in a listen-only mode. The floor will be opened for your questions following the presentation [Operator Instructions]. Before we begin, Pinnacle does not provide earnings guidance or forecasts. During this presentation, we may make comments, which may constitute forward-looking statements. All forward-looking statements are subject to risks, uncertainties and other factors that may cause the actual results, performance, or achievements of Pinnacle Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond Pinnacle Financial's ability to control or predict and listeners are cautioned to not put undue reliance on such forward-looking statements. A more detailed description of these and other risks is contained in Pinnacle Financial's most recent Annual Report on Form 10-K. Pinnacle Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures to the comparable GAAP measures will be available on Pinnacle Financial's website at www.pnfp.com. With that, I am now going to turn the presentation over to Mr. Terry Turner, Pinnacle's President and CEO.
Terry Turner: Thank you Operator. Good morning, we appreciate you being on the call with us this morning. Obviously, the primary objective of our call this morning is to review third quarter performance. As we always do, I’ll make some summary comments and then Harold will go through the quarter in greater detail. The second objective of our call today is to make sure folks are updated both on where we are and where - so following Harold's review of the quarter, I’ll take to create clarity around our long range plans. With that said this first slide the dashboard that we've used for quite some time now, to allow you to quickly assess how we are performing on the critical financial metrics. This particular slide is focused on the GAAP measures. Frankly, for me given all the translation and merger integration going on the company, the non-GAAP measures actually provide greater inside. So reviewing the key performance metrics, the number which are non-GAAP measures. Begin at the top left of the slide, our top-line revenue growth continues to be excellent in the third quarter, revenue excluding securities gains and losses we are up 41.8% year-over-year and up roughly 9.8% on a linked quarter basis. Bottom line our fully diluted EPS, net of merger related charge were $0.78 up 18.2% year-over-year and excluding merger related charges the ROTCE was 16.1% and that’s up from 15.641% last quarter and from 15.31% the same quarter last year. I think it's important to note that all three of those measures are now at record levels. Let’s move now to the second row of charts that generally focused on balance sheet growth, which for companies like ours is the primary basis for our future revenue and earnings growth. Loan growth $1.15 billion in the quarter that’s an annualized growth rate of 64.9%. Of course, $944 million of that growth was in conjunction with the Avenue merger. Excluding that impact the organic growth during the quarter was $206 million or an annualized growth rate of 10.3% during the quarter. Core deposits were up $1.1 billion in the quarter that’s an annualized growth rate of 68.2%. Of course, $717 million of that was in conjunction with the Avenue merger. Exclusive of that impact organic growth in core deposits during the quarter was $406 million, which represents a 22.2% annualized organic growth rate, that’s a fabulous quarter for core deposit growth. Lastly, even with the general targeted roughly 20% for a dividend payout ratio we’re still growing tangible book value per share at 15.2% year-over-year. Switching now to asset quality on the bottom row of charts; going back to the first quarter 2016, we experienced an increase in several of the problem loan and asset quality indicators, but then the NPA’s classified asset ratio was well with net charge off. All came right back in line in the second quarter, albeit, just barely in the case of NCO where we target 20 to 35 basis points. In the third quarter, NCOs again remain just inside our targeted level and we made still further progress on underline asset quality with extraordinarily low levels of NPAs and classified assets. So all-in, third quarter 2016 was a fabulous quarter for us with year-over-year core earnings growth of 18% and key assets quality indicators all in great shape. Sticking with this theme of growing the core earnings capacity of the firm, we always have a number of initiatives that are aimed at perpetuating or accelerating our growth. I think overtime, the single most impactful growth strategy that we’ve executed, there is aggressively hiring the best bankers, brokers, mortgage originators in our markets, to borrow a term from Jim Collins, that’s our hedgehog strategy, it's our primary core competence. We’ve established a reputation as being a great place to work and we are able to leverage that to source, recruit, hire, onboard and retain a large number of the best and most productive revenue producers in our markets. 2015 was a record year for onboard and revenue producers and we are on pace to pretty substantially outperform 2015 in 2016. For me, that’s the best way to propel our organic growth going forward. For those of you that may be new to the stock, in my judgment our ability to hire this volume of high profile revenue producers tells you at least three things; number one, our firm obviously has a competitive distinction among banker, brokers and mortgage originators that is truly powerful. Number two, the true profitability of the firm must be extremely high, if you can add that expense burden and still produce an ROA in excess of 1.30% and a sub 50% efficiency ratio. And then, number three, is the farm should be able to propel dramatic organic growth going forward based on all these new revenue producers. Now, over the last 18 month or so, we’ve also been able to effectively deploy our highly [vague stock] (Ph) to accelerate our growth through acquisitions. We’ve acquired some of the most attractive high growth banks in urban markets of Tennessee in terms of profitability and fit with our firm. We’ve now completed nearly flawless system integrations for Magna, CapitalMark and Avenue, Harold is going to talk more about it in a minute, but we are in the virtually all of the cost synergies going forward. As I mentioned, we believe the system integrations have been near flawless, we kept all the management teams and we kept virtually all of the key revenue producers in conjunction with CapitalMark, Magna and Avenue transactions. Excluding merger related changes, revenue per share is up, earnings per share is up and our efficiency ratio is now below 50%. So in my judgment, not only have acquisitions accelerated growth, but though created many for operating leverage as well. So, from 30,000 fee third quarter was a great quarter. I want to turn it over to Harold now to review the quarter in greater detail.
Harold Carpenter: Thanks Terry. For those of you that have followed us over the years know we pay attention to expenses, but we focus on revenues and how to grow our top-line revenue. It's our belief that top-line revenue growers that can leverage growth with increased earnings will be supported with outsized multiples by investors. This chart shows that in some detail, green bars are fees, while the blue bars represent spread income, the dark line on the chart denotes revenue per share. Growing EPS and tangible book value per share is much easier to do if the stream line is increasing. Our trailing four quarter revenue per share is around $9.98, which is up 25% from the previous trailing four quarter period. On a GAAP basis, our trailing four quarter fully diluted EPS is approximately $2.77 per share, up almost 15% from the previous trailing four quarters. Excluding merger related charges, our trailing four quarter fully diluted EPS is approximately $2.93 a share, up almost 20%. So we believe our firm has performed exceptionally well and transferred revenue growth to bottom-line results. Over the last 24 months, we’ve experienced a lot of change at Pinnacle, hats off for our associates for guiding our firm to a significant amount of both organic as well as acquired growth. There has been a lot of inward focus around here over the last 24 months, which has allowed us to absorb all of this growth into our infrastructure in an exceptional way. We are in the late innings with all of this and very much excited about the future as we set new goals for our banking franchise, both in our four core markets in Tennessee, as well as potentially beyond our stakes. Not concerning loans specifically, as the chart indicates, average loans for the quarter were almost $8.2 billion. Third quarter ELP September 30 loan balances are higher than average balances and our sales pipelines remain strong going into the fourth quarter of 2016 and at this point, we continue to expect double digit year-over-year loan growth for this year. As we mentioned in our press release last night, loans grew by $1.15 billion in the third quarter of which Avenue acquisition accounted for about $944 million or 85% of recorded growth. The remaining loan growth was achieved organically and represented an annualized growth rate of approximately 10.3%, so we continue to believe we can generate earning assets organically at an outsized rate. That's loan yields, our loan yields decreased to 4.43% this quarter, impacting our loan yields this quarter was purchase accounting accretion, which positively impacted yields by 23 basis points. As we look to the fourth quarter, we believe accretion income from purchase accounting for our three previous acquisitions will amount to approximately 15 to 20 basis points of our net interest margin. As to assets, this basically continue to forecast 25 basis points Fed funds rate increase in December of this year and another 25 to 50 basis points in Fed funds in the second half of 2017. Our balance sheet we believe is in a solid asset sensitive position upon a first tick of a rate increase; we've reduced our floating rate loans that floors down to approximately $642 million as of September 30, 2016 slightly less than 8% of our loan balance. Additionally, approximately 50% of our loan book will likely participate in the next rate hike if and when it occurs. This is a new slide, we've been getting a lot of questions about commercial real estate exposure, which is obviously driven by multiple factors including recent regulatory attention to the 100-300 guideline. Just to level set for everyone on the call, the 100-300 guidelines are just that - guidelines. They are in relation to total risk based capital, so simply put the construction portfolio has a guideline of a 100% of total risk based capital while total commercial real estate excluding owner occupied, but including the construction book is 300% of total risk based capital. There are many other rules but that's 30000 foot definition. As you can see, we're below the guidelines on both measures and intend to operate below on both measures. We believe we’re having a very effective commercial real estate platform with the best commercial real estate professionals in the state of Tennessee working for us and they in turn work and support who we believe are the best commercial estate developers in the state. We do think we’ve the horsepower to operate well beyond these guidelines in a sound manner. That said, we believe there is risk in operating above these guidelines, we understand that many small and mid cap banks around the country operate well above these guidelines routinely. We're just choosing to stay within the guidelines, not because we've been instructed to do so, but because we think we’ve a different risk appetite in this area. Many of you know we don't like the big commercial real estate construction projects as they take up a significant amount of our dry powder and can take several years to complete. We also know that we've accomplished three significant bank mergers, as well as acquired a meaningful interest in BSG over the last 18 to 24 months. We did all of these transactions in a very timely manner, but could not have done so without regulatory approval. We believe we’ve a lot of opportunity in front of us over the next few years to grow our firm in a shareholder focused manner, and importantly we also believe we’ve ample loan growth opportunities in the various other loan segments of our portfolio. So for now we intend to operate our firm within the 100-300 guideline and if we breach one or both, our intent is to find our way back below the guideline within a reasonable timeframe. It's a risk management decision pure and simple. As to deposits, again here in the third quarter, we're able to maintain our low funding costs with only a slight increase in cost. As to deposit balances, we had a good quarter for deposit growth with deposits up $1.16 billion in the third quarter endpoint-to-endpoint. Avenue accounted for $953 million of the growth with the remaining organic growth approximating an annualized growth rate of 20.3%, which we are very pleased. Our average loan-to-deposit ratio decreased to 97.4%. Our deposit cost approximated 31 basis points for the third quarter compared to 29 basis points for the same quarter. We continue to believe that effective core deposit growth strategy will result in a lower cost spending platform as well as be more appreciated by investors over that of a non-core funded platform. Our loan pipelines continue to represent strong organic growth that’s why we will continue to challenge our revenue producers to seek out more core deposits for our franchise. Switching now to noninterest income; excluding securities gains and losses, non-interest income for the third quarter increased 48% over the same quarter prior year, driven largely by our ownership interest in Bankers Healthcare Group. BHG linked quarter contribution is down from the same quarter due to reduced operating flows in the third quarter after a very strong second quarter. We currently anticipate a solid fourth quarter from Bankers Healthcare Group. Our residential mortgage group had another outstanding quarter in terms of production and yields with approximately $214 million in loan sales, this quarter at a yield spread of 4.29%. Yields increased as a result of the forward rate lock hedge, as Nashville in particular has a significant amount of residential mortgage activity going on at the present time. The change in fair value of the rate lock hedge contributed almost $880,000 to our results. Other income was down this quarter, the difference caused by last quarter, we posted a life insurance claim and reduction in SBA loan sales in the second quarter. Now as to operating leverage, our efficiency ratio on a GAAP basis was 53.7%, while our efficiency ratio excluding merger related charges was 48.9%. We are obviously very proud of this quarter’s non-core efficiency ratio. Our expense growth this quarter is concentrated in salaries, equipments and intangible and amortization, all of which is very much caused by the Avenue acquisition, more on that in just a second. We would also like to update you on our incentive programs for the year, as many of you know at each quarter end, we will project our annual incentive calls for the full-year and then begin accruing to that amount proportionally each quarter. For the third quarter, we’ve reduced our incentive accrual as we are currently forecasting a less than target payout pursuant to those plans. Our run rate in the third quarter is approximately $2 million less, due to the adjustment from a target payout as the end of the second quarter to less than a targeted payout at the end of the third quarter. Obviously our goal is to deliver a fourth quarter where we can afford to bring that incentive accrual back to target. We continue to forecast the penalty for exceeding $10 billion in assets to be around $3.5 million to $4.5 million in 2017, most of which is in the second half of 2017 as a result of reduced interchange fees for the Durbin Amendment and $8 million to $9 million in 2018 once the Durbin Amendment is fully absorbed. We’ve considered these charges when we announced the Avenue merger earlier this year and continue to believe that the Avenue merger will remain at least 2% accretive in 2016 and 4% accretive in 2017 inclusive of the $10 billion threshold charges. Now more information on Avenue synergy case. When we announced the Avenue merger, we included in our modeling a 40% expense synergy case. As you might expect when you get this far into a merger it becomes increasingly difficult to work through a precise accounting of where you are with respect to the original financial goals, where we are going to try to at least give you some direction. As of today, the original synergy case remains in place, we did make the decision to maintain one of the Avenue branch facilities that was originally planned to be consolidated. Basically this line indicates that if you were to assume the premerger second quarter 2016 expenses of Avenue to be the base case in order for us to achieve a 40% synergy, we would only carry over approximately $4.1 million in additional expense through our run rates. Our expenses increased only $2.9 in the third quarter so we are below the $4.1 million, but there are many adjustments to our run rates that you have to consider in order to increase the level of precision with respect to that assertion. As an example, the $2 million reduce incentives would be one of those, but there are others and I’m not going to get that deep into the weeds here. Our original goal is that during the fourth quarter, which would be the first full quarter after the conversion, we would achieve our target expense run rate with the Avenue acquisition. As the chart indicates, we closed three Avenue branches and went throughout the technology conversion in September. So those cost should not replicate in the fourth quarter. We also eliminated 26 jobs in the third quarter, and have another eight jobs scheduled to be eliminated in the fourth quarter. We believe we are close if not better than the announce synergy case as we sit here today. We are also excited about the growth we are experiencing in both Chattanooga and Memphis, as you know both of these markets are new to our franchise, but both are seeing strong core growth. Their recruiting efforts are also paying off as demonstrated on the chart, we are also very much excited about the fourth quarter pipelines for both market and expect to see continued market share movement to Pinnacle as we enter the fourth quarter and into 2017. Now, I’ll turn it back over to Terry to wrap up.
Terry Turner: Thanks Harold. I mentioned on last quarter's call that we would be completing our three-year strategic planning process during the third quarter. And during this process, you should expect our Board Management to review all our accomplishments, explore our opportunities particularly in areas where we believe we’ve an advantage. I indicated that we would be looking at our tactics for continued long-term organic growth, our long-term operating metrics which we established several years ago. Our expansion plans in Tennessee and we would be evaluating expansion into other high growth markets in the South-East. So I want to take a few minutes to talk through the operating environment we see over the next several years and exactly what our response to those opportunities will be. First of all let me remind you that back in the 2011 to 2012 timeframe, we published targeted profitability and we published the financial model or operating metrics that would be required to achieve that profitability. In conjunction with previous year’s annual planning process, as we updated our profitability target back in 2014, increase in the level of return on assets that we were targeting, and while we’ve kept that targeted level of return on average assets constant since then. We’ve updated the targets for individual components of the model three different times to better reflect environmental realities and still achieve the targeted return on average asset. For any of you that are unfamiliar with the model and our target range is generally should we hit the midpoint for each component, we would hit the midpoint for the ROAA. So as a result of this year’s planning process, in terms of the profitability target, we expect to continue to operate this firm at its current level of profitability for the foreseeable future. In other words, we continue to target an ROAA in the 1.20% to 1.40% range excluding merger related charges. But frankly, we believe the lower longer rates scenario we project in the near-term will pressure margins, we expect it to be headwinds for the industry as a whole. Consequently, we are lowering the margin target to a range of 3.40% to 3.60%. And at the same time, to some extent as a results of the operating leverage that we created, we are able to lower the target range for the expense-to-asset ratio from a range between 2.10% to 2.30% to a range between 2.00% and 2.20% excluding merger related charges. And so with those two modification, the margin and non-interest expenses, which better reflect current reality. We expect to continue to operate at the same overall level of profitability. As it relates to our organic growth model, we've been busily building a $15 billion bank in Tennessee's four urban markets. Today we're roughly $11 billion, so to be clear, it's our belief that we can indeed build a $15 billion bank by 2020 in Tennessee's four urban markets with no further acquisitions. To do that in each of the four markets, we'll most likely be one of the top three banks in terms of FDIC deposits and we continue to believe that we can do that. Interestingly you may have seen that as of June 30, 2016 we've penetrated the top three in Nashville, taking into account the Avenue merger, overtaking one of those large regional banks that dominated the Nashville banking market for decades. So the long and short of what I have tried to communicate thus far is that after updating our strategic plan, we still anticipate building a $15 billion bank in Tennessee's four urban markets by 2020 with no requirements for further acquisition and we believe we can do that while producing an ROAA in the 1.20% to 1.40% range excluding merger related charges. Switching gears to our view on long-term shareholder value, over the last few years I have heard a lot of arguments regarding the optimum size for bank in terms of scale and profitability, evaluation so here is our take on that. As most of you know, we've long targeted top quartile performance, over the years we've actually published top quartile targets for EPS growth and for ROAA excluding merger related charges, and we generally operated in the top quartile on those key measures. So for top quartile performance like PNFP, it would appear to me that $15 billion to say $25 billion in assets appears to be an optimum size for achieving the highest profitability and share price multiple. This doesn't necessarily mandate that we get above the $15 billion target, but it certainly indicates that done right again same in top quartile performance $15 billion to $25 billion might be the level at which we optimize shareholder value. An so to that end in addition to building a $15 billion bank in Tennessee's four urban markets, we see similar growth opportunities in other high growth Southeastern markets, number one we're an urban community bank, which just means we target the urban markets and compete with the community bank level service. Number two, we compete aggressively and win against the large bureaucratic regional in those urban markets based on service and advice, which includes access to local decision makers, and number three there are a number of attractive high growth markets scattered around the southeast that are dominated by the same cast of regional banks with whom we compete in Tennessee. And so our three year strategic plan contemplates our exploration of opportunities in some of the most attractive Southeastern markets including Atlanta, Charlotte, Raleigh, Charleston and Richmond. I expect everyone is aware that we’ve experience in starting banks in urban markets and competing with the large Southeastern regional for talent and clients, we began from scratching Nashville in October of 2000 with a commercial focus. In the chart on the left is a slide, you can see that in 16 years for businesses to sales from $5 million to $500 million, we've surpassed all the regional and national franchises that have dominated the market for decades. Not only do we’ve a dominant share, we’ve the highest client satisfaction and that client satisfaction in concert with our current hiring momentum would suggest that the share gain momentum should continue for a number of years to come. Switching to the chart on the right, we began on a de novo basis in Knoxville in September of 2007, again primarily completing against those same large regional national franchises that have been dominating that market for decade. You can see among businesses sale from $5 million to $500 million we are meeting with virtually the same success in Knoxville that we did in Nashville. So in less than 10 years time, you can see that we are on the dance floor with the large banks that previously dominated and we’ve created a great client experience and that the momentum is ours. In short, we’ve been highly successful with de novo starts in two of Tennessee's four urban markets. In addition to the de novo starts, we’ve done market extensions in two more urban markets of Tennessee, the acquisition we’ve announced and closed three meaningful acquisitions in 18 months, for each acquisition we are in a position to close the transaction the quarter after it was announced. We’ve been engaging in inclusive managing style that’s made it possible for us to retain each of those bank’s management teams, which in my judgment is a large part of the success we’ve had in retaining the vast majority of their revenue producers. Harold addressed the cost takeouts for Avenue deal earlier, so we can now say that we've achieved a big cost takeout target for all three of acquisitions. We believe the system integrations for all three had been nearly flawless and the cultural integrations are working extremely well, 100% of the acquired associates have been through a three day orientation, which is largely conducted by me and the firm’s key leaders. Of course, the associate retention is one key evidence of our success on cultural integration. But beyond that as most of you know we conduct an annual associate work environment survey, which is administered by an HR consulting firm called Modern Think. You see on the slide a quote from Rich Boyer, who is their lead consultant and founding partner, based on his founding after conducting this year’s survey, which includes feedbacks from all the legacy Pinnacle associates as well as associates from CapitalMark, Magna and Avenue. You can see that Rich’s comment is that the integration really has been nothing short of remarkable, the data suggests that we’ve done an excellent job of capturing the hearts and minds of our new associates as well as retaining the hearts and minds of those who worked so tirelessly on these integrations. I might add to that, having only been in Memphis roughly 18 months, we’ve been listed by the Memphis Business Journal as one of their best places to work twice and the Greater Memphis Chamber of Commerce just announced that Pinnacle was nine to their 10 to watch for 2017 list all of whom are companies they believe are the most poised for great progress in 2017. So in addition to our success with the de novo starts, we’ve also been highly effective on acquisition and integrations as our two for market extension. All right I just discussed our firm was founded on a de novo basis, we’ve done market extensions both on a de novo basis and via acquisition and so we would be prepared to take either approach as we consider going into new markets depending upon what is the best opportunity is. To help you think about a de novo start, our experience in Nashville and Knoxville was that cumulative losses through breakeven were roughly $2 million over a 12 month to 18 month period. For us that’s about $3.2 in EPS prior to earnings accretion. That would appear to be a completely reasonable investment to me to gain a new attractive market. Should we take that fact, like we’ve done in other markets, we would only proceed with local management which we believe is capable of building and running a $2 billion to $2.5 billion bank overtime. Specifically we would never consider a few lenders in an LPO as a market extension technique. In my view and experience that approach thinks that makes you the lender of last resort. We intend to continue with our philosophy, preferring to be a foot wide in the yard B, thus both have an inconsequential share in a lot of markets. I would expect the first phase of hiring in any of these major urban markets to be at least 15 to 20 associates, if we were to take the de novo tag. On the other side, should attractive merger opportunities present themselves, we would certainly be willing to consider those as well. In general, the most attracted candidates for us would have at least $1 billion in asset, have a commercial thrust, have capable likeminded local management that want to stay on and run their local market as has been case with CapitalMark and Magna. As sustainable price, I would lay this, we have no desire for a fix or upper and we would target something greater than 5% EPS accretion in the first four years. So now, in addition to our long time target of build a $15 billion bank in Tennessee’s four urban markets with 1.20% to 1.40% core ROAA. We are exploring additional high growth Southeastern markets like Atlanta, Charlotte, Raleigh, Charles and Richmond and we will explore these market extensions on either a de novo or M&A basis, either which should be attracted investments for our shareholders. So just trying to pull all this into a summary, I would say we’ve clearly established a competitive distinction among the bankers in our markets, which is evidence by our ongoing recruiting system. We think we have a competitive distinction with our clients which is evidence by our balance sheet growth and market share gains. We have consistently produced and expect to continue to produce low to mid double-digit organic asset growth in Tennessee’s urban markets, specifically to a $15 billion asset by 2020 that we believe can produce 1.20% to 1.40% core ROAA. We consistently perform there now. Similarly, the last 23 quarters when adjust extra-ordinary items, we’ve had double digit EPS growth and we expect that to continue, I think importantly at 16.01% level, excluding extraordinary items. We continue to produce top quartile ROTCE and that’s in a very high performance peer group. I think the last point, which I believe is really important here is that we’ve got an advantage stock, and it has been rationally deployed. We are fundamentally organic grower to heart, that’s what we think about, that’s what we love to do, but we do have an advantage stock and that puts us in a position to create even more operating leverage and even more EPS growth, which we believe we’ve done with CaptilMark, with Magna, with Avenue and with BHG. So in simple terms, I think we should expect a two prong strategy from us going forward; number one, continuation of our current high growth, high profit plan in Tennessee and number two, to explore expansion to other high growth Southeastern markets. Operator, I think I’ll stop there and we will be glad to take questions.
Operator: Thank you Mr. Turner. The floor is now open for your question following the presentation. [Operator Instruction] Our first question for today comes from a line of Jennifer Demba from SunTrust.
Jennifer Demba: Thank you good morning.
Terry Turner: Good morning.
Jennifer Demba: Terry thanks for laying out on the criteria in terms of expansion. What are your thoughts on tangible book value dilution and your tolerant there, and then, also can you just kind of talk about what your pipeline is in terms of potential new hires outside Tennessee or M&A opportunities outside Tennessee?
Terry Turner: Okay, yes I think on tangible book value dilution, you know we've not published a formal target on that, our view has always been that we would not do anything that would have and earn back greater than three years. I think in all the deals that we announced previously, it was substantially shorter than that and that would be our ongoing model as well. so I wouldn't necessarily want to say it will be zero, but it certainly wouldn't have any extended earn back period, it just wouldn't be attractive to us on that basis. I think as it relates to hiring pipelines and so forth, our deal flow and so forth, I guess let me see if I can get it in perspective for you. you know we're in the relatively early stage of exploration, we've had conversations with a number of people that I would characterize as casual or exploratory, we're not specifically down the hiring line or down the deal line. But I do have a general belief that in at least one of the markets that we outlined there, there is a group of people who I think would be capable of a de novo start similar to what we've done in these other markets. Again, I'm not telling you we can or will hire them, I’m just saying I'm aware that there are people that are available to add that capacity. And in the case of deal flow, I do think there is just more chatter than I have seen in a very long time. I don't want to digress too much, but I have listened to people and their theories about consolidation and the pace of consolidation. If you go back two, three, four years ago people talked about that they were about to enter a big wave of consolidation calls, some of these smaller banks could earn their cost to capital and so forth. Again, my view of that has always been there could not be a meaningful acceleration and consolidation until the merger multiples got up to something more tolerable to the sellers, because most of these banks are sold, as opposed to bought. So I think you had upon equilibrium, here now where a lot of people recognize and this environment's going to be hard, the lower longer rate scenario is tough on margins, the compliant expense burden gets heavier and heavier and so you got people that are more willing to capitulate. You probably got multiples at a point that are maybe over the minimum threshold from their view and so again I think there are a lot of opportunities out there. So it's a long winded answer to your question, I just would characterize it that we've had some discussions on both avenues of expansion, but I wouldn’t want to pitch it that we're like the way down the road on any of it. We're still in early stages of exploring those opportunities.
Jennifer Demba: Okay, and can you give us some color around the hires you made during 3Q 2016?
Terry Turner: Let's see, I don’t know if you got a schedule or something there that I could talk from. Yes, I think - maybe I'll just take a second and again try to get on the table with you how we look at hire. What we are talking about here in this hiring in the slide presentation. We made a revenue hire, revenue producing hire, I think when we talked about the hiring ratio generally turns out to be above two to one, in other words for each revenue produce you have to hire about two support that may either be direct or indirect support. And so what we are talking about the revenue hires, we’ve also made meaningful hires of non-revenue producers as well. On the revenue producers, we most for the hiring continues to be from large regional banks, occasionally if we hire some smaller banks just because those folks worked at large regional bank went to a smaller bank and find our option to be a better option. So again, I think the hiring basis thesis are really the same, we are hiring folks from large regional banks and we are hiring on almost every front, we are hiring commercial middle markets FAs. We are hiring smaller business, but when I say FAs that’s financial advisors, you might use the term relationships managers and so we are hiring middle markets relationships managers, we are hiring small business relationships managers. We are hiring wealth management professionals both as brokers and trust or asset management and we are hiring more originators. So it’s a pretty broad cross section revenue producers.
Jennifer Demba: Okay, thanks so much.
Terry Turner: All right.
Operator: Thank you. And our next question comes from the line of Stephen Scouten from Sandler O'Neill.
Stephen Scouten: Hey guys, congratulations on solid quarter.
Terry Turner: Thank you, Stephen.
Stephen Scouten: I wanted to get some incremental detail on the NIM trajectory and I saw where you were bringing down your forward target by about 20 basis points for that range and it sounds like the NIM will be lower in the Q4 with further affects from Avenue. But I mean what beyond that are you seeing in terms of compression affects from a core yield basis, are new loans yields coming lower still or is it just kind of fill the gap between new loan yields and current yields on the books?
Harold Carpenter: Yes I think what is really impacting our loan yields for the last probably four quarters or even longer is we are getting a lot of LIBOR based credit, a lot of [fraud] (Ph) based credits. So roughly 50 some off percent of our book is now going to that kind of pricing and particularly the LIBOR based credit is a much lower than we would otherwise get. So the spread the LIBOR have decreased some. But it really feels like Stephen that the pace of the decrease is slowing and that just our national business flow between the types of loans that we are getting is relay consistent. So as you look to the four quarter, we have talked about what the purchase accounting accretion would be in the fourth quarter. We are not expecting a big decrease in our margin in the fourth quarter, but we do think it will come down soon.
Stephen Scouten: Okay and then you guys also mentioned obviously the incentive accrual is down which kind of implies that may be relative to what you were expecting, the targets you were expecting to hit it Q2 versus what you are expecting now maybe have been paired off a little bit. So what are you kind of seeing there that makes you feel - is it just growth looks a little slower. I mean we are hearing from a lot of banks that maybe pay downs are a lot higher into the permanent financing markets or kind of what is the trend you are seeing across the Board that leading those kind of that trajectory, if you will?
Harold Carpenter: Yes, well I think it really kind of plays into your first question, I think all banks are fighting this margin every day. We had built in our planning assumptions this year that we would get a couple of rate increases that has not transpired. And so I think it’s basically just trying to figure out how this margin is going to respond over the next six to 18 months. As you know on our incentive accruals, we based it off with an annual target that’s based off of EPS and revenue growth or traditionally that’s what we’ve done. And so as we looked at each quarter in, we just evaluate where we think we are for the full-year. So that’s what resulted in the approximately $2 million decrease in that accrual this quarter.
Terry Turner: Stephen, I might take a second just maybe put that in perspective for you. again, just as a reminder for having incentive target get set it's generally a function as Harold said, revenue growth and earnings assuming we clear sound this threshold. And so in the revenue and earnings plans for going into 2016, our forecast call for several Fed fund increases, which would have been advantages to us in terms of revenues and earnings, which didn’t materialize. I think our firm has done a fabulous job and we have been benefited by some of the M&A activity in particular the BHG incremental investment that we made and so we’ve covered what would be a pretty significant gap created by the assumptions that were made at the beginning on Fed fund increases. And so again, in terms of what the folks in this firm has done, it seems good to me. I think from an investor standpoint, the fact that incentive accrual represents that the shareholder get their money before the associates get theirs is also a pretty strong signal.
Stephen Scouten: Yes definitely and I guess maybe one last question for me, the offset to that has been your expense performance has been impressive and it seems as though you are ahead schedule as you said on the Avenue expense targets in the 40% target there. I know Harold you said you don’t want to get too much into weeds there, but just as it pertains to that $4 million in cost saves, can you give us an idea maybe of just what percentage of those costs already came out? I mean is it 70% that already came out? Is it more like 30 or 40 or just kind of, I don’t know if you can frame that up at all relative to that $4 million in total?
Harold Carpenter: Yes, Stephen it wouldn’t be 70%, its probably more alike 40% to 50%, there were Avenue - any time we have merger announcement, a lot of the people that will be a part of the synergy case. They are beginning to look around pretty early. So we had a lot of people that left even before the acquisition day. But here in the third quarter, we had 26 more come up to payroll and most of those came up payroll in September. So I don’t think that we harvested 70% yet, I think it might be closer to maybe half.
Stephen Scouten: Okay great, but you do expect the totality of that will be out in the fourth quarter, is that right?
Harold Carpenter: Yes, I think there is a handful of jobs that are coming out in the fourth quarter, but those are coming out relatively soon. So yes, we believe a lot of the synergy case will be fully absorbed early fourth quarter.
Stephen Scouten: That’s great. Well thanks for taking my questions, I appreciate it.
Terry Turner: Thank you.
Operator: Thank you, [Operator Instructions], and comes from the line of Tyler Stafford from Stephens.
Tyler Stafford: Hey, good morning guys.
Terry Turner: Hi Tyler.
Tyler Stafford: Hey. Maybe just to follow-up on the expense topic, I was hoping to get some clarification around the long-term expense outlook. The press release said you can continue to operate in that long-term expense to average asset range of that 2.10 to 2.30 in 4Q and then throughout 2017, but in the presentation it said you are altering and improving that long-term outlook down to 2 to 2.20. So I guess how should we be thinking about that in the near-term in 2017, it should be at that higher previous range and then longer term as you guys get greater scale it will drop down to that lower 2 to 2.20 range.
Terry Turner: We ought to be in that 2 to 2.20 range. The press release we didn't want to get into a change in these long-term strategic targets in the press release to just get kind of wordy, so we ought to be in that 2 to 2.20 range going forward.
Tyler Stafford: Okay, so as early as 4Q and then 2017 that you are referencing.
Terry Turner: Yes sir.
Tyler Stafford: Okay, all right thanks, and then maybe just a question around BHG revenues this quarter and looking at the cost to fund BHG that was up marginally in the quarter, but then obviously the fee income that we see was down. So were the originations actually stronger than in 2Q, but you either sold less or the gain on sell margins were lower than last quarter. Any help, I guess some puts and takes there.
Terry Turner: Yes, I think the operating flows for BHG were consistent, maybe slightly down, I think the operating flows for BHG were down in the third quarter Tyler. So I'm not sure, I'm not following your question completely, but they also had a higher substitution amount this quarter, so their credit losses also increased in the quarter, so their margins were squeezed I guess is the way to put it.
Tyler Stafford: Yes, that's what I was getting at, since the funding was still elevated just wondering if it was more of an origination issue, which I guess would match up with the higher funding cost or is it more of a margin gain on sale issue.
Terry Turner: That's right. The funding cost that we put in the press release is an estimate of what we're having to fund that asset. And so as that asset grows on our balance sheet that means, you know as we as our earnings exceed their dividend paid to that number's going to increase.
Tyler Stafford: Okay, got it.
Terry Turner: Because the balance sheet asset is increasing.
Tyler Stafford: Yes, okay. And then maybe just lastly from me on the loan growth topic, a couple other local competitors have recently gotten into the music and entertainment lending niche, just wondering if you're seeing any increased competition out of that specifically now that Avenue's on.
Terry Turner: That's an interesting question, I would say there is a lot of talk in verbally I think in terms of the absolute level of competition I would say no.
Tyler Stafford: Okay. All right, thanks guys.
Operator: Thank you, and our next question comes from the line of Tyler Agee from Hilliard Lyons.
Tyler Agee: Hey good morning. Staying on loan growth clearly the annualized base of 10.3 is still strong, but it was below your year-over-year pace of 15.2 and a lot of banks we've talked to has seen a softening in the loan demand and I was just going to see to what extent you have experienced this or whether there were other factors impacting that loan growth?
Harold Carpenter: My sense of it is that for us you got a commercial for us, you got a lot of large tickets in there and so literally the movement between quarter-to-quarter sometimes can be unusually influenced by a large pay down or two or a large transactions that involves inside the quarter or just outside the quarter by some winning closes. And so as we look at our pipelines you might guess we run a pretty rigorous pipeline measurement on the loan and we expect to produce over the next 90 days and so right now our pipelines would suggest there is really no softening on C&I front. But again I would say the modestly lower growth realized in the third quarter relative to the previous 12 month period is just more related to timing than demand. Again, I would say the demand is strong, we would look for a strong fourth quarter in terms of loan growth.
Tyler Agee: Okay, thank you. And then moving to the net interest margin, do you have an idea of how much of that linked quarter contraction was attributable to Avenue?
Terry Turner: Yes, we’ve got to put some things on a back of a napkin, but it was probably closer to three to five basis points was kind of what Avenue contributed.
Tyler Agee: Okay. And then you mentioned assets sensitivity, do you all run a simulation models to show what your increase in like net income would be as interest rates come up say 100 basis points?
Terry Turner: Well for sure we do that. I can just tell you that we have got to $1.8 billion in assets net of funding that would respond on the first basis points of a rate increase. Now that will include LIBOR related credit, so we are making an assumption that LIBOR would increase concurrent.
Tyler Agee: Okay and then very quick lastly what is of going to deal you are seeing for new investment securities as those roll forward?
Terry Turner: Well we think going forward the securities that we’re rolling off would be around two and a quarter and the securities that we’re purchasing are going to be 1.75% to 2%. But we are not looking to grow that book, we are just going to maintain that book to collateralize public fund deposits.
Tyler Agee: Okay, thank you. That’s all I had.
Operator: Thank you. And our next question comes from the line of Brian Martin from FIG Partners.
Brian Martin: Hey guys.
Terry Turner: Hey Brian.
Brian Martin: Most of mine were answered, just a couple of things, Harold may be just the accretion income remaining on the CapitalMark and Magna and then the Avenue you kind of gave some numbers last quarter. I guess on the Avenue, was there any change to the I think you said it was $10 million to $12 million based on what you are expecting last quarter is that a good number?
Harold Carpenter: Right now and I guess we will have just as closing the Q10, we’ve got about $36 million of purchase accounting accretion left to go through the loan book.
Brian Martin: Okay and that’s in total for everything.
Harold Carpenter: That’s for everything.
Brian Martin: Okay perfect and then you gave the 50% of the loan I think you said that with floors that would move by the way I guess that’s all-in with Avenue?
Harold Carpenter: Yes.
Brian Martin: Okay.
Harold Carpenter: That’s a LIBOR based credit as well as prom based credit.
Brian Martin: Got you, okay. And then just maybe the last thing was on the gain on sale revenue in the quarter, I guess is this a pretty - I mean I guess from a run rate perspective, is there anything unusual this quarter, I guess this is a good run rate combined to the two companies and Terry had said that there is some - maybe as you Harold said there are some pick up or some better activity in Nashville of late.
Terry Turner: Yes, well the mortgage business has been really strong for us probably in the last nine months and so we’ve seen significant pick up in their volumes. We don’t think that volume is going to continue into the fourth quarter, you are kind of coming in on the tail end of the buying season for homes. So we don’t expect that the increase. And so that will probably hurt us on fees going into the fourth quarter, we expect a solid quarter out of BHG in the fourth quarter. And we’ve also got some transactions related to small business loans with Freddie Mac that are suppose to occur here in the fourth quarter as well as some other things that are going to occur in the fourth quarter that should help support our fee number for the rest of the year.
Brian Martin: Okay and no change in the outlook for BHG as you look to 2017, I think you said a solid fourth quarter, but I mean still expect the growth rate of that to kind of near the growth and as of kind of loans of the legacy Pinnacle?
Terry Turner: Yes, we expect BHG to still outperform, I think their pipelines are really strong right now, so they are entering fourth quarter where a lot sales programs kind of come into more focus. And I’m sure that the marketing engine and the sales engine of BHG are going to be running at full till in the fourth quarter.
Brian Martin: Okay. All right that’s all I had guys, thanks.
Terry Turner: Thanks Brian.
Operator: Thank you. And our next question comes from a line of Peyton Green from Piper Jaffray.
Peyton Green: Yes, Harold, I just wonder maybe if you can comment on the outlook for BHG not just in the fourth quarter but maybe beyond into 2017, are they seeing any change in competitive pressure that might change your view about what they can do?
Harold Carpenter: Yes, we get kind of quarterly update on what they see about competition and they are not really experiencing any kind of big dents in their programs, because of competitive pressure. They are still getting the yields that they have always gotten. The business flows are still strong, what is key to their business is what their lead flow is, how many names and phone numbers they can get from the various sources that they acquired those lists from. And I think their marketing folks are running to be hard right and I think they are generating a lot of leads. So it's all based on the top of the waterfall and how many leads they can generate will ultimately result in what kind of loan volume they ultimately get to book and then ultimately sale.
Peyton Green: Okay great. And then in terms of your outlook for 2017, what do you expect or what you have embedded in your margin outlook in terms of the Fed movement?
Harold Carpenter: Well I think we have a 25 basis points movement in mid-year and another 25 basis points towards the end of the year which basically is inconsequential for our net interest income next year.
Peyton Green: Anything in third fourth quarter?
Harold Carpenter: Of this year?
Peyton Green: Of this year.
Harold Carpenter: Yes, 25 basis points coming in December.
Terry Turner: Peyton what is your outlook Fed funds?
Peyton Green: It's been lower for longer for quite a while. Maybe they do a quarter but I don't know that there's much.
Terry Turner: All right.
Peyton Green: Thank you.
Terry Turner: Sure.
Operator: Thank you, and our next question comes from the line of Jefferson Harralson from KBW.
Jefferson Harralson: Hi thanks, I want to ask you first about the expense line and just see if I heard what you said correctly that we had about $56 million of expense in this quarter with the reverse incentive accrual or with maybe the lack in incentive accruals were at 58. But we said a million I guess from Avenue, so 58 which should be growing overtime with a million dollars we will have to get of Avenue, am I thinking that correctly, is there some other unusual item in the quarter that we should think about.
Terry Turner: No, I think that's directionally right, like we talked about we got an incentive accrual out there that we hope to recapture in the fourth quarter and then we've got some more synergies out of that in the acquisition that we will get in the fourth quarter.
Jefferson Harralson: Okay, then with your mentioning of 15 or 20 basis points of 4Q margin coming from [accretible] (Ph) yield that's probably $4.5 million to $5 million. How should that line item look over 2017, are we still early enough in the accretible yield flow that that should be relatively stable or should that come down a little bit as we go through next year.
Terry Turner: No I will come down overtime, we mentioned earlier we got about $35 million left to go, it's probably going to be four to five in the fourth quarter and it will get probably over the next two years, it's probably how that will all kind of play out. Additionally it will become inconsequential.
Jefferson Harralson: Yes, all right and lastly you mentioned the hire substitution amount on BHG, can you talk about the credit you saw this quarter, the credit you expect or kind of anything that's going on there with credit that you can talk about.
Terry Turner: I don't really have anything that's unusual, what they experienced was in September was probably about 750 to a million dollars more in substitution than they would have normally experienced. So we'll be looking at the fourth quarter to see if that continues but so far they are running about you know call it a million dollar run rate on substitution amount.
Jefferson Harralson: Okay. All right, thanks guys.
Operator: Thank you, and that concludes our conference call for today. We thank you for your participation and you may now disconnect. Everyone have a great day.